Operator: Good afternoon, ladies and gentlemen, and welcome to today's Fiat Chrysler Automobiles 2016 Third Quarter Results Webcast and Conference Call. For your information, today's conference is being recorded. At this time, I would like to turn the call over to Joe Veltri, Head of FCA Global Investor Relations. Mr. Veltri, please go ahead, sir.
Joseph Veltri - Fiat Chrysler Automobiles NV: Thank you, Elaine, and thank you to everyone for joining us today. The earnings release that we issued earlier today along with the presentation material that we'll use for this webcast and conference call are available in the Investors section of the FCA website. Today's call will be hosted by the Group's Chief Executive, Sergio Marchionne; and Richard Palmer, the Group's Chief Financial Officer. After their introductory remarks, they will both be available to answer your questions. Before we begin, I would like to note that any forward-looking statements we might make during today's call are subject to the risks and uncertainties mentioned in the Safe Harbor statement included on page two of today's presentation. And, as always, the call will be governed by this language. With that, I'd like to turn the call over to Richard Palmer.
Richard Keith Palmer - Fiat Chrysler Automobiles NV: Thanks, Joe. Hello, everybody. So we'll start on page four. Q3 financial statements – financial results were strong. We had our best Q3 ever for adjusted EBIT and our best adjusted net profit ever. Our adjusted EBIT margins were up at 5.6%, up 130 basis points over last year. All our segments contributed positively to the improvement in the result year-over-year, excluding LATAM, which continues to suffer the market situation in Brazil. But that area was still around breakeven. Maserati had a very strong quarter on the heels of the launch of the Maserati Levante and showed double-digit margins for the quarter. On the balance sheet side, our net industrial debt increased by €1 billion as was expected with our normal Q3 seasonality, in both NAFTA and EMEA, as we have the model year changeover in NAFTA and some shutdown in EMEA. So those two regions had a negative impact on our working capital. We expected it to be around €1 billion, and that's what it came out at. So we are still confirming our net industrial debt guidance for the year on the back of the Q3 number. Other items in the quarter, the all-new Jeep Compass was launched in Brazil. It's the third vehicle in the Pernambuco plant there and that vehicle will then subsequently also be launched shortly in both China and Mexico production plants. We signed the new labor agreement with Unifor in Canada, which was rectified on October 16, and so we now have a four-year agreement with Unifor to work through with them. And lastly, but importantly, we have increased our full-year guidance for the year on the back of the strong results for the quarter and year-to-date. We are confirming our net revenue guidance at over €112 billion. We are increasing our adjusted EBIT guidance to more than €5.8 billion from the more than €4.5 billion previously and we are increasing our adjusted net profit guidance to more than €2.3 billion from more than €2 billion prior. And as I said before, we're confirming our net industrial debt guidance at less than €5 billion, notwithstanding, as we discussed in the last quarter, the significant negative impact year-to-date of the real strengthening on our debt position of about €800 million year-to-date. So moving on to page five, talk about some of the product news in the quarter, as I mentioned earlier, the Maserati Levante is being launched. It's the first SUV that the Maserati brand has offered. We have been launching it in Europe and in NAFTA and also started in Asia-Pacific. We have over 18,000 orders worldwide year-to-date, and really this vehicle and its initial reception in the market, I think, is reaffirming our commitment to the strategy to build our premium presence in the marketplace and confirms our intentions regarding the business plan for the Maserati brand. In the quarter, we shipped 5,000 Levantes and the sales rate as of September was about 2,000 in the month of September, so picking up very well, and starting to launch now. We also launched the 124 Spider Abarth version. I think the 124 Spider and the Abarth version are important for the Fiat brand image. They are doing good work in the marketplace showing new product under the Fiat brand. This car is available in Europe and in North America and has been very well received in the marketplace. We shipped about 4,000 in the third quarter. And then, lastly but not least, importantly, we have launched a new engine family for small gas engines, called the Firefly, the first installation starting production is in Latin America and the first vehicle is the refreshed model year 2017 Fiat Uno. This engine is modular in designs so the initial versions are 1.0 liter three-cylinder and a 1.3 liter four-cylinder and future versions will also incorporate direct injection and turbo-charging as it gets rolled out across our small and medium size vehicles. Moving on to page six, get into a bit more detail on the numbers. So our shipments worldwide on a combined basis including JVs were in line with prior year, notwithstanding as we've been talking about regularly that we have taken out production of Dart and the 200 in North America, and including the switch of volume from imported units into China to our joint venture which was up 30,000 units in the quarter. In terms of consolidated shipments, therefore we were down about 4%, driven by the 200-Dart impact in NAFTA which was slightly offset by Jeep and Ram improvements and driven by Latin America due to the market, with an offset in EMEA up 18%, driven by new products in particular the Tipo family launch. So in terms of revenues, we were flat year-over-year. There was no significant exchange impact in there and basically the reduction in our consolidated shipments was offset by the increased revenues in Maserati and positive mix particularly in NAFTA but also in EMEA. So that revenue performance produced the adjusted EBIT at €1.5 billion, up 38% with margins of 5.6%, as I mentioned earlier. So, year-to-date, we're €4.5 billion with a 5.5% margin up from 4.0% last year year-to-date. That drove adjusted net profit in the quarter at €740 million and year-to-date just shy of €2 billion. The adjusted net profit also included beyond the improvement in the operating results at EBIT also reduced financial charges and some positive impacts on the tax rate because of some higher tax credit utilizations in Q3, which helped us get to the €740 million in the quarter. The net profit was €606 million compared to a loss in the prior year. As you'll remember, last year, we had an unusual item for adjustment to our results for recall costs and also for Tianjin port issue in Asia Pacific. This year, we have taken a charge for a litigation we have in progress with a component supplier and that is contributing to basically the primary driver of a net charge of €149 million unusuals in this quarter. Our net industrial debt, as I mentioned, went from €5.5 billion at the end of June to €6.5 billion at the end of September due to seasonality and working capital as we will see later on. And our available liquidity for the same reason, we came down from €24.7 billion to €23.2 billion, but still very strong available liquidity. And as we go forward, we will continue to pay down some of the maturities that are coming due in Q4. Moving to page seven, we can see the adjusted EBIT walk by segment. As I mentioned before, ex-LATAM, everybody else contributing positively to the improved adjusted EBIT performance. And NAFTA margins were up to 7.6% from 6.7% last year, in line with our 7.5% year-to-date number. LATAM was down due to the continued market contraction. EMEA was up to 2.1% from 0.4% last year, continuing the positive trend we've had thus far. Asia Pacific was up mainly due to improved profitability in the joint venture as we go through the launch process of the Jeep vehicles we've been launching there. And Maserati, as I mentioned, showing the positive impacts of the start of the Levante volumes, up to 11.8% margins in the quarter. Moving to page eight, you can see the same improvement in adjusted EBIT looked up by operational driver. You can see that basically all the areas of the business contributing positively, in particular, I think, we are seeing positive impact from industrial costs as we work on that part of the business, the volume and mix is positive driven by Ram, Jeep, and Fiat Toro and Tipo. Our net price, we're still working hard to improve our price positions and in particular offset some exchange impact in Canada, in Australia, and so, overall, positive performance getting us to the €1.5 billion adjusted EBIT. Page nine shows our net industrial debt walk. So as I said, it increased by €1 billion, the balance, the seasonal working capital absorption was €1.2 billion due to model year changeover and summer shutdown in NAFTA and in EMEA. And basically that meant we were down 40,000 units to 70,000 units respectively, which we expect to recover in Q4. The working capital impact is very similar to the prior-year impact in line with our expectations. So EBITDA generation was nearly €3 billion with margins of 11.2% on EBITDA, up 180 basis points year-over-year. And the CapEx spend was €2 billion, which is consistent with the low-end of our guidance at €8.5 billion to €9 billion for the full year. I would like to move on to the operating segments, if we look at NAFTA, the U.S. market was 4.5 million vehicles in the quarter with SAAR just shy of 18 million units and the Canadian SAAR 1.9 million, so, industry sales were down 1% and 2% in Canada. And our group sales are down 2% in the region. U.S. sales were up 1% to 570,000 vehicles with share up 30 basis points as Jeep and Ram sales offset the impact of the Dart and the 200 reduction. Our U.S. dealers' data supply was slightly down at the end of Q2, 2016 to 72 days. Our U.S. fleet mix was higher than last year, mainly due to timing of deliveries that were a little late in 2015. And so this is a more normal cadence seasonally. And Canada sales were down 18%, and I think we're seeing some impact of some of the price increases that we have been taking over the last 18 months to protect our margins in Canada from the FX impact of the weakening Canadian dollar. So shipments overall for NAFTA were down 58,000 units, of which 44,000 were driven by the Dart and the 200. And so our net revenues were basically flat with those reductions in volumes offset by mix and some pricing. So if we look at the adjusted EBIT walk, you can see the negative volume impact of the Chrysler 200 and Dodge Dart offset by some favorable vehicle mix. The industrial costs improved due to purchasing efficiencies and some lower warranty costs, partly offset by some product cost for the new Pacifica and overall getting us to the 7.6% margins for the quarter. Moving to Latin America on page 11. There's nothing particularly new here. The market continues to be tough in Brazil, down 8% for the quarter, that's LATAM and 17% in Brazil with some offset in Argentina which was up 12%. We continue to be the market leader in Brazil for the quarter with share of 18.6%. The Jeep Renegade and the all-new Fiat Toro pickup continued their strong performance and lead their segments with share of nearly 25% and 75% respectively. Our net revenues were down 7% with some of the volume impact offset with positive mix from the Toro, in particular. So if we look at the EBIT performance, we lost €16 million in the quarter. We were down principally because we are struggling to offset the impact of input cost inflation and some exchange differences in the pricing area. September was a particularly difficult month and that is the reason why you can see the inventory days up to 48 from 39. We're seeing some improvement in sales in the month of October. Obviously, we're watching this very closely and continue to take out cost as you can see by the SG&A line continuing to contribute positively. We do have a new vehicle in Q4, the Compass. The Jeep Compass production was started in September and will start to contribute in terms of shipments and sales in Q4. So that should help us to continue to improve and get back to a breakeven result and, well, if the market is remaining tough through the end of the year. Moving on to page 12, Asia Pacific, the industry was strong, up 18%. Our combined sales including the JV were up 27% with China up 52%. Australia down 50%, as we continue to price to try and cover the Australian dollar weakness and maintain profitability. The Jeep brand was 81% of our regional sales in Asia Pacific and was up strongly year-over-year driven by the localized Cherokee and Renegade. So if you look at the EBIT walk across, we lost €83 million last year. This year, we made €21 million. The biggest driver of this is the joint venture result, which is within the other line and also the SG&A coming down, as that marketing activity is principally performed within the joint venture. So the joint venture numbers starting to show positive trend. And as we go into launching the third Jeep with the Compass at the beginning of next year, we expect to continue to see incremental improvements. Last year, as you remember, we had the Tianjin issue in the port explosion. We're getting through the process of selling down all the vehicles that were involved in and damaged in that issue. And we did take some incentives on closing out both the – all the imported vehicles that are now transitioned over to localized production and the Tianjin vehicles. And we're down to less than 2,000 units at this stage. So that issue should be rectified going forward. Moving on to EMEA on page 13. Sales were up in a positive industry, with the market up 5% with growth in all the major markets. Our sales were up 11% in passenger car, and so share was up 40 basis points. In light commercial vehicles, the industry was up 14% and we were up 17%. Overall, you can see that our EBIT improved from €20 million to €104 million on the back of stronger volumes with the Fiat Tipo family and also LCV performance being improved. Industrial costs were slightly higher due to R&D and manufacturing on those new vehicle launches and also SG&A for marketing expenses related to those launches. But overall, 2.1% margins as we continue to launch a number of vehicles was a good performance for the quarter. Moving to Maserati on page 14. As we mentioned in the last call, we are starting to see now in Q3 the impact of Levante. Shipments, as I said, were 5,000 units in the quarter taking us to 10,600 units for Maserati in the quarter. As a result, our revenues were up nearly 70%, adjusted EBIT was up to €103 million with margins of 11.8%. We still have very strong order backlog for Levante, so we expect to continue to see the positive trend going forward into Q4. The Ghibli shipments were slightly down as we transition to the model year 2017 but overall all three of the Maserati vehicles are well-positioned going into Q4. On page 15, the components businesses, revenues were in line with prior year, showing some improved mix of Magneti Marelli. Our EBIT increased due mainly to growth in automotive lighting in Magneti Marelli and non-captive revenues were nearly 70%, in line with prior year. And then moving to page 16, show our industry outlook for the remainder of the year, in terms of NAFTA, we are not changing our industry outlook. We see the U.S. industry as stable at around 18 million units as borne out by the third quarter numbers and the story really is LATAM where we obviously continue to see softness in the Brazilian market. And so, we were at 3.6 million to 4.1 million prior, now we have reduced our range basically to around 3.6 million for this year. We are seeing some level of improvement in October in the sales trend but obviously this is something to watch very closely going forward. Asia Pacific, no change in our guidance, we expect to be at the high end of the range there and in EMEA, we have increased our guidance by 0.5 million units and we still expect to be on the high end of this range as well as the momentum in the European markets continues positively. So moving to page 17, as I mentioned earlier, we have improved our guidance for the year both on adjusted EBIT and adjusted net profit. We are holding revenues and net industrial debt. And with that, I will hand the call back to Joe. Thank you.
Joseph Veltri - Fiat Chrysler Automobiles NV: Thank you, Richard. Elaine, I am going to turn the call over to you now as I think we are ready to start the question-and-answer session.
Operator: Thank you. We will now take our first question from John Murphy from Bank of America. Please go ahead.
John J. Murphy - Bank of America Merrill Lynch: Good morning, guys. Just a first question on net debt. Obviously, well, at least to us the year-end target looks a little bit optimistic. I'm just curious if you are considering or contemplating any asset sales in that number and also, Richard, you sort of highlighted the €800 million headwinds seen from the real, so I'm curious if maybe €5.8 billion is an adjusted number for that forex and I'm just trying to understand the sort of relatively optimistic number for year-end.
Sergio Marchionne - Fiat Chrysler Automobiles NV: This is Sergio. The number is – does not foresee any asset disposal. It's fundamentally due to performance or working capital reversals in Q4. Now if you look at our seasonality and you'll see the number is realistic given our history. So...
John J. Murphy - Bank of America Merrill Lynch: Okay.
Sergio Marchionne - Fiat Chrysler Automobiles NV: ...we should be well below €5 billion.
John J. Murphy - Bank of America Merrill Lynch: Okay. And then just a second question, you highlighted net pricing is a positive in North America. Obviously, there are some conflicting views on this, the data is showing or corroborating what you're talking about, but we're also hearing about gross pressure at the dealer level. So, dealers are taking sort of – appear to be taking some of the first wave of hits on pricing. I'm just curious what you're hearing from your dealers and if you think this positive net pricing environment can really be maintained for the foreseeable future?
Sergio Marchionne - Fiat Chrysler Automobiles NV: I'm not sure I do understand the term gross that you used.
John J. Murphy - Bank of America Merrill Lynch: The new vehicle gross profit per dealer is coming under pressure.
Sergio Marchionne - Fiat Chrysler Automobiles NV: All right, yeah, yeah. I thought you talked about just their experience being gross. It may very well be. I'm being facetious. I think that there's no doubt that the market has probably increased in competitiveness at retail level. I think we are – I think it's also a function of the way in which we have been driving performance out of our dealers. We are very much interested in sort of growing volumes and growing share. But I have not heard and I have met with the dealers about two weeks ago, I've met with counsel, I have not heard any alarming signs over disintegration of the profit structure at the dealer level. I think it's reflective of normal, healthy trading conditions. I would not read too much into this as Richard said. We maintain our forecast of 18 million for the year for U.S. and I don't think anything is going to disturb the margin performance of our dealers between now and December. The more problematic area for us, as Richard mentioned, is Canada, because I think that with the devaluation of the Canadian dollars, a lot of the U.S.-based products have become unnaturally expensive. And I think every attempt that we have made at maintaining margins in the region has come at a cost in terms of share and you've seen volumes drop in Q3. We were market leader at least up to the first half of this year, the position that we've now seated to another Detroit competitor. But we're not going to chase volumes just for the sake of getting numbers into the fold here, so we've protected margins in Canada, I think, we need to see how the year ends up. We've also been capacity constrained on truck which has limited our ability to properly service the Canadian market, but it's something hopefully will be rectified in Q4 of this year.
John J. Murphy - Bank of America Merrill Lynch: Okay. Then that just kind of leads me just to the next question, I mean, the drag on the 200 and Dart, I think, on slide 10 you are looking at €204 million on mix and volume there and that sounded like at least all of that, if not more, is from the 200 and Dart winding down. I mean, if you look at Belvidere changing over to the Cherokee, could we see that completely reversed and then some by the third quarter of next year? How fast you think this reversal and changeover will occur and you'll get the benefit from that Cherokee as opposed to those two sort of fading vehicles, if you will?
Sergio Marchionne - Fiat Chrysler Automobiles NV: By Q3 of next year, certainly, Cherokee has gone in and I think we will be in the process of industrializing to try and get the Ram up. You may not see the full margin impact of this. I think the completion of this transformation of the industrial footprint in the U. S. will require the startup of both the Wrangler and Toledo, the startup of the Ram 1500 of the new one and the reintroduction of the Cherokee and Belvidere. That will not be completed until Q1 of 2018. And so, I think the full benefit will be visible. Then it's my sincere expectation that we'll be able to achieve double-digit margins of NAFTA once we get that number. I can see from the side of my eye that Richard is having apoplectic reactions to my assertions. But I think that the transformation should allow us to effectively yield the best-in-class margins out of NAFTA, and that remains a key objective.
John J. Murphy - Bank of America Merrill Lynch: Okay. That's actually very helpful. Thank you very much.
Operator: We will now take our next question from Patrick Hummel from UBS. Please go ahead.
Patrick Hummel - UBS AG (Broker): Yes. Good afternoon, gentlemen. Two questions, please. The first one, can you give us an update on where we are and in terms of potential disposal of your supplier businesses? There was obviously some news from Samsung that negotiations are being delayed due to their Galaxy Note 7 issue. And then there was some additional news on Comau, some interest from Shanghai Electric. I was just wondering if you can comment on where we are with those two assets, or in general, whether we should expect a closure of a deal in the fourth quarter for any of those businesses. And my second question is regarding the capacity utilization in pickup trucks. Obviously, you're still running at full capacity. We heard on the other hand from Ford that they are idling some plants also for the F-150 production. I was just wondering if you can give us your latest views on how your utilization is going to look like in the fourth quarter and how you would explain the differences between the three Detroit players and in terms of utilization and production in the fourth quarter. Thank you.
Sergio Marchionne - Fiat Chrysler Automobiles NV: Just to put your mind at rest, I'm not going to comment on plant utilization out of our Detroit three. If you have any questions about with the impact of that is, I suggest you go back and read the Capital Junkie presentation that was made in May of last year. I can only give you my views about what the utilization of our asset is in NAFTA, both the Mexican plant in Saltillo and the plant in Warren that we have in Detroit. Both of them are running flat out. I have no indications that will suggest that we're going to take production down in Q4. I think our work continues making sure that we introduce the new 1500 properly in the early part of 2018. But certainly our forecast is not to reduce capacity utilization. So you can use whatever definition of capacity you like, but we're over 100% of that number. In terms of your opening remarks about asset disposal, just to be clear, I have never, to the best of my knowledge, ever indicated that either one of the assets that you made reference to are for sale. I've never made reference to a particular deal with Samsung, nor would I be courageous enough to suggest that Samsung is having issues with batteries as it connects to the 7 series. I think those are internal issues of Samsung and I'm sure they'll resolve them. From our standpoint, I can only tell you that as it is true for most businesses, there are a continuous number of approaches that are made into the house from a variety of sources that are potential interest in other sales or combinations of some of our assets. Those discussions do continue from time to time. Based on what I know today, there is nearly 100% certainty that no deal will happen in Q4 of this year.
Patrick Hummel - UBS AG (Broker): Okay. Very clear. Thank you very much.
Operator: We will now move to Monica Bosio from Banca IMI. Please go ahead.
Monica Bosio - Banca IMI: Good afternoon, everyone. Thanks for taking my questions. Maybe I'm wrong but I believe that aside from 2016 the market is focusing on what could happen in 2017. And we know that the NAFTA market is top-ish, is at the top. If I have understood well the pricing is still quite disciplined. I'm just trying to figure out and to try to model the room for further improvement in NAFTA in margins, not on the long-term but in 2017. And I would also like to ask your feelings on Europe. What kind of growth are you expecting for the automotive market in Europe in 2017? I've spoken with some players and they are telling me 2% or 3%, is it right?
Sergio Marchionne - Fiat Chrysler Automobiles NV: Yeah. By the way, and to the extent that it's a forecast for next year by definition wrong, but I think our estimate will not be consistent and is significantly different from the 2% to 3% that you've heard from our competitors. So I think there's broad agreement that the market will be marginally up in 2016. I think if you use 3% as a guide, you will not be off. In terms of your 2017 numbers I was – my suggestion, and I think Richard would concur, is that we would wait until the January call when we give you the full rendition of 2016 for us to give you a more intelligent view on how 2017 is shaping up. I don't see any sort of drastic or draconian movements other than sort of range shifting at the top end of the NAFTA market. I think I have always had the view that this market is capable of ranging between 16.5 million and 18 million SAARs. I think we need to wait for the conclusion of 2016 to make a more intelligent assessment as to where that market will be next year. But we don't expect it to be off so materially that it would change our views about portfolio shifts or our market share ambitions for next year.
Monica Bosio - Banca IMI: Does margins in NAFTA will continue to go higher 2017, thanks to the mix?
Sergio Marchionne - Fiat Chrysler Automobiles NV: Well, we have made it an absolute case here inside this house to make sure that we effectively shore up the margin shortfall in NAFTA that we've had against our competitors. It is – it continues to be the single largest shortcoming that this Group has against the competitor class and it needs to be cured and I think 2018 is a good year to get it done.
Monica Bosio - Banca IMI: Okay. Thank you very much. Thank you.
Operator: We will take our next question from Adam Jonas from Morgan Stanley. Please go ahead. We will now move to Martino De Ambroggi from Equita. Please go ahead.
Martino De Ambroggi - Equita SIM SpA: Yeah. Thank you. Good morning. Good afternoon, everybody. One more question on net debt, because we did the second time, you are improving the operating guidance confirming a net debt guidance. I understand it's just below €5 billion, so it's not a precise indication and I know you are able to reverse the net working capital in Q4. But the improving EBIT confirming net debt is mainly due to non-recurring cash-outs that you had during the year due to the forex translation effect or what else?
Richard Keith Palmer - Fiat Chrysler Automobiles NV: The main reason, Martino, as you mentioned, is the Brazilian real. Because compared to our initial guidance that translation impact, as I mentioned before, is about €800 million. So as we've improved our operating performance we're offsetting that impact and maintaining the cash flow guidance.
Martino De Ambroggi - Equita SIM SpA: Okay. So the non-recurring cost and well costs you're recording during the year or last year had no impact, significant impact?
Richard Keith Palmer - Fiat Chrysler Automobiles NV: No, we have no significant impact because they're basically related to liabilities that have a pretty long tail on them. And so we don't expect any significant – we don't recognize any significant impact on our guidance for the year.
Martino De Ambroggi - Equita SIM SpA: Okay. And on NAFTA region on that EBIT bridge, industrial costs during the last quarter were the most important driver for Q3 performance. I understand the efficiencies and the lower warranties, but could you elaborate on it in order to understand to what extent this can be considered recurring may be to see maybe not the same amount but a similar impact going forward.
Richard Keith Palmer - Fiat Chrysler Automobiles NV: Yeah. I think as we're aware, clearly, as we've been talking about working very diligently on the cost equation, our purchasing savings year-to-date in NAFTA touching 3% of our buy which is a much better performance than we've had historically. I think as we continue to focus on product costs we'll continue to see a positive impact also through 2017. On the warranty side, we've had a number of issues on some product launches in the past as you're aware that have cost us a lot of money in terms of warranty spending. I think we're starting to see more stability in our vehicle park vis-à-vis warranty and so that is another area of focus which can help to improve our margins going forward as well.
Martino De Ambroggi - Equita SIM SpA: Okay. Then on Alfa, I didn't see any update on Alfa Romeo.
Sergio Marchionne - Fiat Chrysler Automobiles NV: It's going well. The fact that we have not – that we haven't isolated it doesn't – there's nothing nefarious about this. We're in the process now of rolling out the Giulia on a global basis. It's not happened in the U.S. yet. It will come to the U.S. in Q4 of this year. As you know, or you may know the car has received a number of awards it's been recognized as one of the best technical launches that have – that this group has ever carried out in its history. So I think you need – it will get traction of the market and starts getting distribution, it will be in China hopefully in Q1 of next year, Q1 or Q2. And so it's an ongoing story. We have a big launch coming up in Q4 of this year with the first UV off the same architecture being launched. Hopefully, we'll see it in Los Angeles. And then it will be available for rollout in Q1 of next year. So the plans are going as expected. I am incredibly pleased. I am telling you honestly, apart from the fact that I think the cars that we have launched are bar none probably the best vehicles we've built in a long time. But I'm encouraged by the versatility of the architecture that was planned at the time in which the Giulia was launched. I think it's proved out to be all and more than we expected and I think its utilization across a wide range of applications within the group is probably the most beneficial thing we've done from a technical development here in a long time and I think its ramifications are yet to be seen. But I think we now have the basis on which we can build a phenomenal rear-wheel, all-wheel-drive environment which may spill over in some forms even as far as Jeeps. So I am delighted. But other than that, I have really nothing to add. Let's watch and let's see what happens at the end of the year.
Martino De Ambroggi - Equita SIM SpA: Okay. Thank you.
Operator: We will take our next question from Alberto Villa from Intermonte. Please go ahead.
Alberto Villa - Intermonte Sim SpA: Yes. Good morning. Good afternoon. Some question from my side as well. The first one is on the debt expiring in the fourth quarter of this year, are you planning to issue new debt or you are considering to lower the overall gross debt and that would probably reflect in lower...
Richard Keith Palmer - Fiat Chrysler Automobiles NV: Yeah. We have already repaid the euro bond on the 17th of October with – out of cash. We have another Swiss franc bond of about 400 million that we would also pay with cash and then we have the MCS coupon that we'll pay with cash too in Q4, so about €1.6 billion of reduction in gross debt from cash in Q4.
Alberto Villa - Intermonte Sim SpA: Okay, thanks. Second question is on the passenger car agreement, you are planning to have in the U.S. market, is there any update on that and did you change any plan considering maybe a different view on the market development going forward for passenger cars in North America or is still on the (43:09) agenda?
Sergio Marchionne - Fiat Chrysler Automobiles NV: No, look, it's still on the agenda. I have nothing to announce because we haven't finalized anything. But I remain – I mean, the only reason why we have looked at the passenger car market with some degree of skepticism is because of the pricing power associated with our position and I think we find a cost-effective solution to our objectives, then I think we will execute it. And I think our distribution network is quite capable of turning that into a successful venture. But this is a market which is now – and I'd have to go back and look at quarterly performance, but I think it's been coming down now in terms of relevance in the U.S. market for a number of sequential quarters and I think we need to recognize that this is not a fashion shift from passenger cars into utility vehicles and pickup trucks. I think there is a structural change and I think we've adapted our industrial footprint to reflect what we consider to be a permanent change and I think we need to rely on the economies of scale and capital deployed and invested by others to give us the desired objective. But it's a matter of time we will find somebody.
Alberto Villa - Intermonte Sim SpA: Okay. But put another way, if you don't reach an agreement, is that changing your targets in any fashion or not materially?
Sergio Marchionne - Fiat Chrysler Automobiles NV: To be perfectly honest in the scheme of things given our objective of making €9 billion by 2018, I think, it would be a rounding error if we found that. That's not really the big issue. I think the important thing for us was to preserve the uniqueness of the rear-wheel-drive offering that we have across fundamentally four brands which are Alfa, Maserati, Dodge and potentially Jeep. And I think that that solution has been nailed down internally by focusing on the (45:13) architecture which underpins the development of Alfa. And as long as that's been secured and I think it continues to deliver as we expected and I think our search for a front-wheel-drive passenger car solution to deal with very much of American problem has got limited impact on our ambitions.
Alberto Villa - Intermonte Sim SpA: Okay. Just another very trivial final one. On the cover of your presentation there is a car that I can't recall, is the second on the left from the top-line, which model is it?
Sergio Marchionne - Fiat Chrysler Automobiles NV: That's a Toro from...
Alberto Villa - Intermonte Sim SpA: Okay. Thank you. Thank you very much.
Operator: We will now take our next question from Rod Lache from Deutsche Bank. Please go ahead.
Rod Lache - Deutsche Bank Securities, Inc.: Hi, everybody. A couple questions. Just, first, I was hoping you can talk a little bit about your strategy for NAFTA trucks, and more specifically J.D. Power reported that incentives on Ram rose to around 16% of average transaction prices in September and October, which obviously is up quite a bit from the 12%-ish that we saw in this timeframe last year. So it would seem on the surface that achieving this capacity utilization requires quite a bit more pricing, and if you can comment on whether that's correct? And related to that, can you – could you remind us...
Sergio Marchionne - Fiat Chrysler Automobiles NV: Rod, if I can just give you an answer on the incentives. I think you are a follower of this marketing, and you know that our main competitors in this area have put on a variety of initiatives to try and incentivize dealers to sell trucks. We have been absent from those strategies and we were absent until the last 60 days, 90 days, if you include October as a four month. But certainly in the last three months, we have been active and have in part replicated some of the strategies that our competitors have used to focus on particular section of the inventory on hand that dealers to try and – motivate the network to try and deal with trucks, because we have taken a very hard look at our level of penetration in some of the key truck areas in the U.S. and we have been deficient, and I think a lot of this has been because of the fact that we had not emulated people who have had a longer history and better success that we've had in the sector. So I think we try to emulate and I think in some cases we may have been insufficiently accurate in terms of the target area that we're going after, which may have caused some distortions. We spent a lot of time with the management team yesterday before – so they're focusing on the quarter end to try and understand exactly how to pitch the position for the next 90 days. We feel relatively comfortable that the system, broadly speaking, that we've put in place is something ought to be preserved. I think we need to sharpen the focus of the intervention. I think the numbers that you've mentioned in terms of the 60% thing is reflective of – and I can't comment on the J.D. Power number in and by itself, I just don't know. But it's reflective of the impact on a particular piece of the inventory on the ground and not necessarily hopefully. I think we need to be very careful about reading too much into those numbers, because they do not impact 100% of the population of trucks that will be disposed off, but they are used as instigators of increased activity in truck. We have seen no negative impact as a result of all this in our overall performance, and the forecast that we have in place for the remainder of the year does rely on the continuation of a focused structure that was started about 90 days ago.
Rod Lache - Deutsche Bank Securities, Inc.: Okay. That's helpful. And I was hoping you can also remind us of the magnitude of what you're looking to achieve, it's Sterling Heights and Toledo, it looks like at least while they're making passenger cars, Sterling was 330,000-unit plant and Toledo North might have been capable of about 200,000, so when you flip over from car to truck, do you have roughly the same magnitude of capacity available?
Sergio Marchionne - Fiat Chrysler Automobiles NV: The answer is yes. On trucks, it is different. On Toledo, Toledo will go – will potentially go as high as 280,000 on nominal capacity.
Rod Lache - Deutsche Bank Securities, Inc.: Okay, that's very helpful. And just lastly, any comments or color on the financial impact of the Unifor agreement?
Sergio Marchionne - Fiat Chrysler Automobiles NV: The only thing I can tell you is that obviously on the economics we were followers because we were bound by the GM deal. I think that when you look at the impact on overall cost as a result of the deal and you combine it with the devaluation of the Canadian dollars, both Canadian plants in Canada remain competitive. So I think I feel relatively satisfied that we reached a satisfactory objective and advises piece on the funnel for the next four years, which are pretty important years as you well know. So I think the cost impact is manageable and certainly falls within our plan expectations for FCA.
Rod Lache - Deutsche Bank Securities, Inc.: Great. Thank you.
Operator: We will take our next question from Stephen Reitman from Société Générale. Please go ahead.
Stephen M. Reitman - Société Générale SA (Broker): Thank you. Good afternoon. Two questions, please. On fleet we saw that the average of fleet in Q3, 21%, was less than the nine month rate, which I think is running about 24%. What is actually happening within the fleet mix? I think you said at the Q2 stage that rental was down from 85% to 75% of the mix. As you run down and stop production of the Dart and the Chrysler 200, can we expect that proportion to fall further in the coming quarters? And secondly, question on Alfa Romeo. Just again if you could talk a little bit about the ramp-up. From what I can see it still seems to be running at relatively low levels from its own plants and I can understand that you haven't done the U.S. launch yet. But it seems to me that – it looks to me the production of the Levante is actually higher on a monthly basis at the moment. And of course the – but I guess the volume aspirations on the Giulia are significantly greater than they are for the Levante. So when can we expect to see Giulia production getting to sort of like a cruising rate consistent with your targets for Alfa Romeo's volumes? Thank you.
Sergio Marchionne - Fiat Chrysler Automobiles NV: Yeah. I mean the cruising rate for the sedan without station wagon is probably between 75,000 and 100,000 a year. I can tell you right now the Levante is an ambition, even a full capacity utilization is over 40% of that number.
Stephen M. Reitman - Société Générale SA (Broker): Yeah.
Sergio Marchionne - Fiat Chrysler Automobiles NV: So – and I mean I wish you're right that I was producing Levante at a faster clip. But I made better money on the Levante than I do on Giulia. But I think Giulia is going through a different process. You understand that Maserati has an established distribution network and something that we've built up between 2010 and now is the reason why both the Quattroporte and the Ghibli have been historically successful. I think that it's walking into sort of established hands in terms of distribution and I think the – Richard made reference to the fact that we got 18,000 orders in-house. We probably got as many for the Giulia, I just don't know enough today given the fact that most of the attention is focused on the U.S. and the introduction of the vehicle for the U.S. market which remains its key main markets for distribution. And so, I think the best thing we can do is give you a better update when we get together for Q4. The answer to your three questions, I don't have an answer, but maybe Richard does. Nobody can hear him. Can you hear him?
Stephen M. Reitman - Société Générale SA (Broker): Well, I missed that. But it's now – I can hear you now.
Sergio Marchionne - Fiat Chrysler Automobiles NV: Okay.
Joseph Veltri - Fiat Chrysler Automobiles NV: When you lost?
Stephen M. Reitman - Société Générale SA (Broker): I didn't hear it when you turned, when Sergio turned to Richard, we didn't hear anything from whatever he said.
Richard Keith Palmer - Fiat Chrysler Automobiles NV: Okay. Sorry. Must be my mic. So we've gone down from 80% to about 75% on rent-a-car, so slightly down. I think obviously bringing the mix of commercial and government up as a total compared to our fleet volume is a target we talked about. And we're focused on I think the two key items there for us to continue now are to – basically we've completed our van lineup. So the van gives us a complete product lineup for commercial customers. And going into 2018 as we've mentioned having more pickup capacity would allow us also to satisfy the fleet customer's demand on pickup which we struggle to do today, because we favor retail in the U.S. and also Canadian volume which have higher margin. So I think as we realign our capacity we're going to be able to continue to work on improving the fleet mix.
Stephen M. Reitman - Société Générale SA (Broker): And do you have any estimate? When you mentioned – obviously you mentioned – you've spoken earlier about the differential about trying to close the gap between your U.S. operation of those of Ford and General Motors. What do you think, do you have any kind of guess for the margin impact is of the reliance on the rental versus your peers closing that?
Richard Keith Palmer - Fiat Chrysler Automobiles NV: No, I don't – it's very much dependent on individual customers and individual mix in the sales mix. So I don't really want to give you a number, because I think it would be a little bit too much of an estimate frankly.
Stephen M. Reitman - Société Générale SA (Broker): Thank you.
Richard Keith Palmer - Fiat Chrysler Automobiles NV: But clearly, our ability to sell more truck and more vans to commercial customers would be a positive impact on profitability compared to our current mix.
Stephen M. Reitman - Société Générale SA (Broker): Thank you.
Sergio Marchionne - Fiat Chrysler Automobiles NV: Yeah. I'm going to hazard a guess, and Richard is going to cringe when I give you this, but based on what I've seen and I'm going to get crucified by our commercial people. So I warn you before. But I think there's probably – the difference could be as high as probably 80% more margin out of a other commercial fleet account and it would be out of rent-a-car and it is purely volume based, it's simply the size of the purchasing power that the rental car companies have on OEMs. And so, as much as I – and by the way before we sort of ignore their relevance to us, they were a crucial element and continue to be a crucial element of our of operations and we're thankful for them sticking around and sticking with us back as – as far as back as 2009 and 2010 where we didn't necessarily, it looks like the best possible OEM in town but they were loyal and supportive of the transition that we were making, so we owe them a lot but they are very tough on margins and I think anytime that we can supplement their volume with commercial fleet volume, we do phenomenally better. And so nobody is suggesting that we should do – we should replace them but I think we should certainly reduce the reliance on the overall portfolio by focusing more on the commercial accounts.
Stephen M. Reitman - Société Générale SA (Broker): Thanks.
Operator: We will now take our next question from Philippe Houchois from Jefferies. Please go ahead.
Philippe Jean Houchois - Jefferies International Ltd.: Yes, good morning. Thank you. Two questions for me, please. The first one is we waited for a long, long time (58:19) the gross cash position to come down and the cost of care to come down as a result. I think we're looking about €18 billion, €20 billion a while back and we are now €23 billion, €24 billion.
Sergio Marchionne - Fiat Chrysler Automobiles NV: We are going to use €1.5 billion in the fourth quarter to be happy. We are going to use €1.5 billion to pay debt.
Philippe Jean Houchois - Jefferies International Ltd.: Okay.
Sergio Marchionne - Fiat Chrysler Automobiles NV: Let them pay it off as soon as it comes due, it gets – somebody cut a check and send them merrily on their way.
Philippe Jean Houchois - Jefferies International Ltd.: But you refinance it again. So what you are looking at in a model for and the 2017...
Sergio Marchionne - Fiat Chrysler Automobiles NV: I haven't – excuse me, excuse me. I don't think we have issued anything in a while. I am looking at Richard, Richard, you get out of the Street raising bonds without telling me. We haven't raised any money in the last 12 months to the best of my knowledge.
Richard Keith Palmer - Fiat Chrysler Automobiles NV: Philippe, you are getting me into trouble, right?
Philippe Jean Houchois - Jefferies International Ltd.: I know there is a slight point of contention between you two so that's why I am asking. Okay. The other question is more generally if you can give us a view on the industry in general, at what point do you think this industry is going to start to write down its investment in combustion engine as a result of the loss of value-add as we downsize engines and a growing electrification of powertrain.
Sergio Marchionne - Fiat Chrysler Automobiles NV: That is by the way a phenomenally difficult question to answer for two reasons. One, I think that the transition from the current state to a future state is not going to – and I am talking about the next decade and anything – famous last words, but the ability to call transition in the next decade. We are going to go through a phase where I think combustion will not lose its relevance in its entirety but where I think electrification will combined with combustion to provide solutions to the OEMs. And so I do not think that combustion engines will lose their appeal, they will lose their relevance, but they will not lose the usefulness in terms of the portfolio. I think whoever thinks that electrification will actually replace the bulk of the automotive market, I think, is probably being overly optimistic. It will take time to transition and the transition will include combustion. And I think that given our runway, the write-down will happen naturally as a result of normal write-down processes. I mean, now these assets have got long lives on our books and I think they will just come off through natural depreciation.
Philippe Jean Houchois - Jefferies International Ltd.: At the same time if you look at it differently, in terms of value added or if you shrink the size of your engine and you end up buying more and more of the value-adds from suppliers to meet CO2 and other emission regulation, your value-add goes to zero and that normally if you do an asset impairment that should lead you to write down your asset base. Am I wrong in thinking that way?
Sergio Marchionne - Fiat Chrysler Automobiles NV: You're probably not. But I think you are doing two things, one, you are overestimating the speed of change and secondly, you are overestimating the size of the asset build that's happening here, and we are not talking about numbers that are that large. The problem that you raised, by the way, is a more – is truly significant from a strategic standpoint because what's buried in your question, I hope, is the fact that the real essence of an OEM, it is the definition of what we do for a living is on the table because if you're right, and I think you are in the mid to long-term, then I think we need to be able to redefine our core skills to reflect a much higher level of disintermediation and production than we have had so far. Because the only thing that's really left in our hands and that we've managed in a very proprietary way is combustion. And so the issue is a much deeper question and it only reinforces the debate of being – that I started, that's probably being going on even before I started on utilization of capital in an industry which is going through a phenomenal set of transformations. And I think we need to think about that long and hard as we work through the next phase of development for the business because the relevance of brands is on the table. It is undisputed in my mind for brands like Ram, Jeep, the premium brands. It is a much more difficult analysis to carry out on the long-term for what I would call more generic brands, which I think are prone to being commoditized and I think that that is a much bigger question that we need to deal with. And I don't have an answer at the end of this quarter for you on that question. I'll just try to focus on making as much money as I could and warning to make sure that we execute on our plan. But your question is well taken and maybe we can have a discussion over a beer on that issue anytime you like.
Philippe Jean Houchois - Jefferies International Ltd.: Thank you.
Operator: We will take our next question from Charles Winston from Redburn Partners. Please go ahead.
Charles A. Winston - Redburn (Europe) Ltd.: Yeah. Hi, good afternoon. Charles from Redburn here. Just two left from me. We talk quite a bit about pricing in the NAFTA region and in the U.S. and obviously it is quite clear that that small €40 million entry into your walk is a net figure. Could you perhaps break that down a little bit and talk about what the underlying pricing impact would have been perhaps in the U.S. only. I other words, (64:24) try to strip out that adverse FX impact if that's in any way possible. And the second question is just in the LATAM region. Industrial costs, big step-up again, again as we started seeing the currency move, if the BRL remains at these levels, are you going to be able to get back into profit in that region? In other words, these – are the new models in Pernambuco going to be enough to offset what still looks to be at least at current exchange rates quite a vicious FX impact on the input cost side? Thank you.
Richard Keith Palmer - Fiat Chrysler Automobiles NV: So, Charles, on the pricing question, the U.S. number I estimate will be about €100 million positive and then we're offsetting a piece of that with the impact on the Canadian dollar negativity on the other side. So the U.S. is in part subsidizing the impact of exchange on the Canadian dollar and on the Mexican peso. Both markets are trying to offset that impact with their own actions as we discussed and Canada has been very active in that regard in the last 18 months but it's a big devaluation, so that is eating into some of the positivity we have on the U.S. side. Your second question on Brazil, I think we're building a product portfolio for Jeep in Brazil localized there to be able to be competitive notwithstanding the impacts of exchange and clearly in normal market circumstances I think we would be making strong margins as we have in the past out of the installation that we put into Pernambuco. The real impact of the real obviously is as the volumes in Brazil go down, our ability to export into the rest of Latin America is tougher than obviously it would have been. So that is clearly a negative impact in the scheme of things on our profitability in Latin America given that we would have volume in Latin America outside of Brazil. But I think to answer your question, we can make money at these levels of exchange. Our focus is clearly to launch the third Jeep in Pernambuco and continue to run that installation to basically help us to return to breakeven and positive in the beginning of next year. So that is a feasible target obviously for us to start to make the sort of margins we have historically made in Latin America we need to see some improvement in the Brazilian market conditions which we've seen fast turnarounds in Brazil in the past of double-digit CAGRs off lows. And so I think we're optimistic that we can see a recovery in the Brazilian market in the beginning of 2017.
Charles A. Winston - Redburn (Europe) Ltd.: Yeah. Thank you.
Sergio Marchionne - Fiat Chrysler Automobiles NV: Just to shed some light on this. I mean I've been listening to Richard explain this. You need to understand in the absence of a startup in Pernambuco, our South American operations would've been in a loss. But I think the more worrisome part of about being in a loss is that we would have deprived consistent with what most other people are doing, we would have deprived South America of any new product launches during the time of the crisis. And I think the Pernambuco solution allowed us to do two things. One is to modernize the architecture, secondly to introduce Jeep in the market. And I think as we have seen in Argentina, which has recovered at an incredible rate from several years of crisis certainly based on my last interface with the authorities in Brazil which was no older than a month ago. My indications that I think we've hit rock bottom, months of presidential issues has been resolved that I think that there is – there appears to be consensus, at least the political level about moving the agenda forward, and I would not be surprised if we saw the beginnings of a – the slight recovery in Q4 this year, hopefully better performance in 2017. Having said this, I think we are – we, as a group, are better off having done what we've done, because of the benefit on the rest of the region as a result of the startup of the plant.
Charles A. Winston - Redburn (Europe) Ltd.: Great. Thank you.
Operator: Our final question will come from Richard Hilgert from Morningstar. Please go ahead.
Richard Hilgert - Morningstar, Inc. (Research): Thanks for taking my questions this morning and good morning to everyone, and good afternoon. Just to follow on a little bit on the electrification question posed earlier. My question was more centered around given the company's current spending situation and capital investments that it's intending, and given the industry's seeming to now be accelerating more towards that electrification, I wonder if there's been any plans or thoughts put into changing over to an additional electrified powertrain approach. I understand that hybrid is one way to go, but it seems like with Daimler, making a commitment to battery capacity now just announced this week, Volkswagen's announcements earlier about its commitment into battery electrification, things are accelerating on the full electrification side?
Sergio Marchionne - Fiat Chrysler Automobiles NV: I'm not sure that it's fully accelerating on the full electrification, it certainly is accelerating on the electrification side, and I think that based on our assessment, we strongly have the resources and have worked on projects that will make these a reality certainly within the same timeframe that both of our German competitors have announced. The great thing about – the great thing – the bad thing and a great thing about electrification is that most of it will rely on components being provided by suppliers to the industry and not by us. The single largest drawback to electrification to us as OEMs is that we're no longer in control of the components side; all batteries will be made by others. And so it's really a question of capacity and access to that capacity, everything else including the technology associated with providing electrical powertrain is within our reach and certainly supplemental by the relevant Tier 1 supplier. So I am not concerned about that becoming a disadvantage to FCA, I think we are going to have a long debate about the rate of change associated with what's happening here. I think we need to be very careful about not being – not being overly optimistic about the rate of change. Having said this, I think we need to be prepared and the reality is that we have the first – the only minivan in the marketplace that is fully hybrid. So I have – I think we need to be careful about sort of believing the headline. The real substance of this market at least for this year and next year is going to be to remember something else and resources are being devoted to the development of alternative powertrains at a rate which is comparable to some of the other OEMs.
Richard Hilgert - Morningstar, Inc. (Research): Okay. Very good. My second question has to deal with the quality of the product coming out it seems like the last three years there's been some personnel changes and recognizing the consumer reports what they call a quality issue might not necessarily be from an engineering perspective a quality issue. But just curious what's the managerial approach to now locking in a better way of improving what's coming out in the product portfolio. You talked a little bit about the launches of the Giulia and how well that's been. Is there some implementation of an approach that this will transfer from Giulia to other model launches going forward?
Sergio Marchionne - Fiat Chrysler Automobiles NV: Without getting involved into our intimate entrails of the way in which we run the business, I can only tell you there is a selection of the leader that we put in place that was carefully thought through. I think the – he has been well-trained and running both purchasing on a global scale and North America manufacturing over the last seven years. So he understands the problem from both implementation side in terms of manufacturing and the acquisition side in terms of supplier choices for the group. The more important thing to me I think we've – we have now externalized the benchmark evaluation process to other people. I think this was very much of an inside exercise. It was a – it was always done using internal parameters. I think we've learned the hard way that external valuations are perhaps more relevant to the way in which we look at quality from an internal standpoint. That's been put in place. They governed the launch of the Alfa Giulia, but more importantly governed the launch of the minivan. And I think they were very instrumental. These third-party agencies were very instrumental in bringing about suggestions and changes to the way even in which the product was configured and initially to make sure that we met customer expectations. And I do expect that that benefit will work its way through the rankings. I think we have had to learn the hard way that perhaps having engineers although not necessarily associated with either designer or manufacturing, assess the quality of the work of other engineers may not have been necessary the best way out. We've learned the hard way. We've moved away from this. I think we're in a much better place now than we've been in a long time.
Richard Hilgert - Morningstar, Inc. (Research): Okay. Thanks again.
Operator: That will conclude the question-and-answer session. I would now like to turn the call back to Joe Veltri for any additional or closing remarks.
Joseph Veltri - Fiat Chrysler Automobiles NV: Thank you, Elaine. And once again, everyone, thank you for joining us today. And have a pleasant rest of your day. Thank you.
Operator: That will conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.